Operator: Good day everyone. Welcome to today's InterDigital First Quarter 2009 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, I would like to turn the call over to Janet Point. Please go ahead.
Janet Point: All right. Thank you, Michael. Good morning everyone and welcome to InterDigital's first quarter 2009 earnings conference call. With me this morning are Bill Merritt, our President and CEO, and Scott McQuilkin, our CFO. Consistent with last quarter's call, we will offer some highlights about the quarter and the company and then we'll open up the call for questions. Before we begin our remarks, I do need to remind you that in this call we will be making forward-looking statements regarding our current beliefs, plans, and expectations, which are not guarantees of future performance and are subject to risks and uncertainties that could cause actual results and events to differ materially from the results and events contemplated by such forward-looking statements. These risks and uncertainties include those set forth in our earnings release published yesterday and those detailed from time-to-time in our other filings with the Securities and Exchange Commission. These forward-looking statements are made only as of the date hereof and acceptance required by law, we undertake no obligation to update or revise any of them whether as a result of new information, future events, or otherwise. So, with that taking care, I would like to turn the call over to Scott.
Scott A. McQuilkin: Thank you, Janet and good morning to everyone. Our first quarter financial results reflect significant growth in revenue, core net income and cash balances. Total revenue was 70.6 million in first quarter of 2009, a 26% increase over the first quarter of 2008, all of that revenue was recurring in nature. Excluding a 37.1 million repositioning charge related to the cessation of the SlimChip program. Pro forma net income was 15.4 million, an increase of 8.1 million or more than double the level in first quarter of 2008. Free cash flow was 43.1 million and our cash and short-term investment balances were 186 million at March 31, 2009, up 31% from year-end 2008. The significant increase in revenue over the first quarter of 2008 is due primarily to the contribution of 21.4 million from Samsung. This revenue is a result of our recently signed patent license that will generate 400 million in cash over 18 months. With the first installment of 100 million received in January. The revenue was amortized on a straight line basis over the life of the agreement. So we recognized 2.5 months of revenue in first quarter 2009. The growth in revenue was tempered by a number of factors. Lower revenue resulting from a decline in sales for a number of per unit licensees, a decision by one of our licensees to exit the mobile handset business and the completion of work in full recognition of revenue for a technology solutions customer. During the guidance; in second quarter 2009, we expect to report recurring revenue from the existing agreements in the range of 72 million to 75 million. The expected increase over the first quarter 2009 reflects the recognition of our full quarter of revenue under our license agreement with Samsung and an expected 60 to 80% increase in technology solutions revenue from SlimChip IP royalties albeit off of a small base. These increases are partially offset by an expected decrease in per unit royalties from existing licensees of about 5 to 10%. Our reported per unit royalties for second quarter 2009 are based on our licensees sales for calendar first quarter 2009, which is expected to be relatively weak for the industry overall. Consistent with our guidance, in the past this range does not include any potential impact from new agreements that may be signed during second quarter 2009 for additional royalties identified in audits that we regularly conduct. As per to quarterly revenue trends in guidance and perspective, I want to make a few points about our financial results. First, although the economic climate has created near term challenges for a number of our licensees, some of our licensees in technology solutions customers have continued to generate increases in recurring revenue. This has been driven by a combination of the fundamental growth overtime in 3G handset sales, as well as market share gains for competitors that are well-positioned in growing market segments such as smart phones. Second, our exposure to the relatively matured Japanese handset market this decreasing overtime, as we add significant new licensees with a diversified global customer base. Specifically in first quarter 2009, royalties from Japanese per unit licensees accounted for less then a quarter of recurring revenue, compared to over a third in first quarter 2008. As we add other significant licensees, we expect that this percentage will decline further. Third, and perhaps most importantly, we had a significant opportunity to grow and diversify our recurring patent royalty revenue, our licensing other handset makers and to increase our share of the 3G handset market under license. Although the completion of our license agreement with Samsung, our share of the 3G handset market under license increased to about 50%. As you may note, the major unlicensed handset makers Nokia, Sony Ericsson and Motorola account for over 30% of the 3G market. While weak global economic conditions may continue to affect industry handset sales near-term, we remain optimistic about the fundamental growth prospects for 3G handsets, which remain a growing segment in the market. More importantly, we remain confident and our ability to add major new licensees which could significantly increase our royalty revenues, earnings and cash flow. Turing to the expense side, first quarter 2009 operating expenses were 47.3 million excluding the 37.1 million repositioning charge. This represents a $900,000 increase from the first quarter 2008 expenses excluding an adjustment for arbitration and litigation continuances in that quarter. Turing to operating expenses, our analysis focus is on two basic components. Operating expenses, other impact litigation and arbitration costs and pattern and litigation and arbitration cost. The first component, operating expenses other than patent litigation and arbitration costs were 44.6 million in the first quarter of 2009. This represents a 5.3 million increase over the first quarter of 2008. The increase is primarily related to development expenses associated with our SlimChip program. This program has now been discontinued, but the first quarter reflects a four quarter spending on the SlimChip program. The savings from the discontinuation of this program will be realized in the second quarter. The 37.1 repositioning charge consists of 6.5 million in cash expenses and 30.6 million in non-cash charges. The non-cash charges include 21.2 million of acquired intangible assets and 9.4 million of property equipment and other assets. With the repositioning of product business largely complete, we expect our development expense for second quarter 2009 to be in the range of 14 to 15 million, down about 13 million from 27.6 million in first quarter 2009. As we said previously, these expenses might increase modestly in the future as we identified newer areas of technology development to pursue, which we believe can significantly benefit the company in the future. In addition, we currently estimate that we will incur additional reposition cost of about 1 to 2 million in second quarters 2009, but the timing in amount of our remaining reposition cost will depend on our process to fully wind down the SlimChip program. The second component of our operating expenses is patent litigation and arbitration costs. These costs totaled 2.6 million in first quarter 2009, this is 11.2 million less than expenses in first quarter 2008, excluding adjustments for an insurance reimbursement and arbitration and litigation continuances in 2008. The significant decrease in patent litigation and arbitration cost is due primarily to the elimination of ongoing expenses following the resolution of our UK management Nokia, the relative reduction in cost associated with out ITC proceedings with Samsung. We believe that investment in patent litigation is validated by the successful completion of our license agreement with Samsung. It also positioned us very well with respect to our ITC proceeding with Nokia. Going forward, we will continue to invest and when necessary to vigorously defend our strong and well diversified patent portfolio. Therefore, we expect that these expenses will very from quarter-to-quarter depending on the level of activity. Our cash position remains very strong. We ended first quarter 2009 with a 186 million in cash and short-term investments which represents over $4 per diluted share. Free cash flow was 43 million for the first quarter reflecting the payment received from Samsung offset by forward withholding taxes and the payment of annual and long-term incentive compensation. We continue to have our confidence and our ability to generate value for our shareholders by licensing our significant portfolio of patents as well as investing in core research and development to drive future licensing and other technology opportunities. Given our strong cash balances and free cash flow, we've the financial capacity to take advantage of these opportunities. Further we're continuing on our past practice of enhancing shareholder value through stock repurchases. In March, we announced a new $100 million stock repurchase program. As of year end 2008, we had repurchased 22.6 million shares of our stock of approximately 30% of the outstanding shares. In summary, our financial position is strong. We've make significant progress toward our objectives of securing revenue from every 3G device sold and building value for our shareholders. Now I'll turn the call over to Bill.
William J. Merritt: Thank you, Scott and good morning to everyone. I'll keep my remarks brief this morning, touching principally on the growth prospects for the company. As Scott already noted, the first quarter finances were quite strong driven by our large base of patent license agreements and including the new agreement with Samsung. We anticipate very short second quarter driven by both good revenue growth and substantial reduction in expenses as a result of our exit from modem product business. That's all good news. We other good news is that we have in place a solid plan to drive growth both in future quarters, from future years. In the near term, our major focus for the company is of course the positive resolution of our patent licensing issues with Nokia. As in typical with these situations, we are moving forward on two fronts. One is the litigation track which is moving forward to evidentiary hearing in May with a decision from the ALJ (ph) expected in August 2009. We remain confident in our position in this case. The second path is discussions with Nokia towards the broad resolution of the patent issues. While we continue to have our differences, we also continue to have productive dialogue as we explore ways to resolving issues between the companies. And the settlement of the right terms remains are preferred throughout. However, we will also take the case to decisions and acceptable settlement can not be reached. As that for Nokia, we are also in dialogue with a number of manufactures worldwide on patent licensing agreements. Consistent with our strategy to drive greater value out of the licensing business, we had expanded the capacity of our patent licensing team and are beginning active discussions in both new regions and new markets. Regionally, we've began more direct patent discussions in China, leveraging the relationship we established to our modem product business. Marketwise, we've extended our activities into the machine-to-machine market as they expect substantial growth of devices servicing this market. Indeed recent announces by both strength and T-Mobile confirmed that the machine-to-machine market could become a major growth market while over the coming years. We certainly more than capitalize on that opportunity. To drive added value beyond this year, we are preparing for entry into other wireless markets where our inventions are used but where we had not typically been involved in licensing. These markets include Wi-Fi, WiMAX and wireless services and application. Here our expansion of the patent licensing discussions is being supported by our internal R&D efforts as well as our M&A activities targeting patent portfolios that will complement those internal efforts. Like the patent licensing team, we have expanded the resources in our corporate development group to allow us to identify more patent acquisitions or patent acquisition opportunities faster. The purpose of that effort will be to not only secure patents that increase the breadth and depth of our patent coverage on traditional cellular handset, but also support our room into new markets. So as an example, while the company has some targeted investment in wireless applications like Security, our patent coverage in that state is not as deep as in wireless modems, the patent licensing remains in business in which both the quality and quantity of the portfolio matters. So there is a lot of the highest value from our internally generated patents and technologies in this basis, we may target acquisitions in these areas to give us the critical math and inventions that will support a high value of licensing program outside the traditional handset market. For even higher value creation over the longer-term, the company remains heavily involved in developing the technologies that will drive future generations of wireless systems, whether those technologies drive higher data, ease of use, seamless roaming, smaller devices or to like. Both efforts include substantial internal research as well as a significant presence in standard bodies worldwide. Again, like our patent licensing and corporate development efforts, we have increased the internal funding in these areas to drive even better results in terms of key inventions that are contributed and accepted into the worldwide standard bodies. So whether a resistance beyond LCE or beyond the current versions of Wi-Fi that we used in our homes, InterDigital will be actively involved with finding other systems we work and we expect to rise a substantial return efforts to the deploy. The result of all those effort, we expected to be steadily higher levels of patent licensing revenue overtime, driven by both greater handset sales, higher value license agreements and equally important market diversification. Beyond patent licensing, we're also actively working to grow our non-patent licensing revenue. As Scott already reported, our technology solutions revenue line is expected to grow nicely over the next quarter based largely on, in the success of Infineon. With future success of NXP and Spreadtrum, we would expect this revenue line to grow even further. Moreover, we have the opportunity to add new modem technology licensing customers and we believe there remained new demand in the market for the technology we develop. Consequently, we have a dedicated team in terms of the company to identify and close those deals. We have modem technologies and we are involving other product and activities. As the level of market technologies and services continue to involve. We see very interesting opportunities to introduce reasonably to the market, those are around and to create partnerships. Indeed dramatic changes in the wireless technologies and capabilities are creating a wealth of opportunities to contribute to the future generations of the lowest products and services, and we want to profit for them. Overall, we are happy to report that the company is in very good shape around a very positive impact. So with that let me open it up for questions.
Janet Point: Okay, Michael if you could give the instructions for asking questions.
Michael Ciarmoli - Boenning & Scattergood: Hi guys good morning, thanks for taking the call. Sure question, I guess Scott, do you have the percent breakdown of revenues on how much was derived from fixed contracts versus per-unit contract?
Scott McQuilkin: Yeah, in the first quarter fixed was probably about 60% and variable was about 40%.
Michael Ciarmoli - Boenning & Scattergood: Okay. And...
Scott McQuilkin: That includes obviously Samsung which is fixed.
Michael Ciarmoli - Boenning & Scattergood: Got you. And given kind of the market conditions, do you anticipate that kind of rate holding, or should we think about that squiring (ph) a little bit higher towards fixed some of maybe the tough market conditions impact, some of the per-unit type of licensees you have?
Scott McQuilkin: As I said in my comments, we certainly saw some declines from our per-unit licensees in the first quarter and we expect some of those in the second quarter, which really relates back to the first calendar quarter in terms of the overall market. We'll see how the market performs for the rest of the year, some other forecast I'm looking at. So just the first quarter is going to be the weakest quarter of the year and the expectation sort of some analysis is that the market will begin to grow after the first quarter and certainly the 3G market, which is growing significantly faster then the overall market is expected to pick up. So, that's my perspective.
Michael Ciarmoli - Boenning & Scattergood: Okay, that's helpful. And just on a topic of Japan, is there any other specific region of concentration in your revenue streams and is there a likelihood for some other regions to I guess employ some of the same regulation changes to their handset market that is negatively impacted the Japanese handset market?
William Merritt: I'd say no to that Mike. The Japanese market is little bit unique because they were first out of the box in terms of development 3G technology and we capitalized on that and that's probably the main reason that in the past they've represented a significant percentage of our royalties. But you look at the rest of our licensee base and their sales are well diversified.
Michael Ciarmoli - Boenning & Scattergood: Okay, I got it.
William Merritt: As I said in my comments, I think that trend towards increasing diversification and reduced concentration in Japan is going to continue.
Michael Ciarmoli - Boenning & Scattergood: Okay. And then I guess Bill, just on the relationship with in Infineon, are there any specific handsets out there that are driving current revenues or expected to be introduced in the near term that could help increase that line item that the revenues from in Infineon further in the coming periods. I know in Infineon does have some product on the 3G Apple iPhone. But are there any other products out there that are really contributing to that growth?
William Merritt: We've got design wins into LG and design wins in the Samsung, so we see those as opportunities for them. Obviously, Apple is also talking about other devices they're going to shift and we'll see Infineon's position with respect to those devices. So right now, we Infineon actually doing a very job in the market with their solutions, I'm very encouraged by the results.
Michael Ciarmoli - Boenning & Scattergood: Okay and this might be a little premature here, but LG that contract has been going for while now. At what point do you start to think about discussing with them about contract expansion. Then I guess that back through for all true for all of your licensees. At what point of process due you start engaging them to kind of re-up their contracts and continue as a royalty paying customer?
Scott McQuilkin: It has never become totally disconnected from the customers. We're having dialogue with them on various topics. And as far as active satellite is in discussions, you try to get started there as early as it can. Obviously you have to be -- these folks have other things to do too. So they have to be at time when it's going to make sense and then to engaging it. But, you get down as soon as you can and when you work your way through it and we've been very successful at re-up in licenses over the year or so. We expect that we'll have the same level of success with LG.
Michael Ciarmoli - Boenning & Scattergood: And just follow up on that. Sony Ericsson, I mean that's one you had the successful 2G deal there and that seems kind of -- I think everyone is waiting. Is there any particular hang-up there that's holding-up a potential I guess renewal that license, you're converting that into a 3G. Are any major sticking points or is that just kind of normal course of business.
William Merritt: Yeah, it's the normal way in which kind of re-approach the market and how you -- the level of focus you put on different customers at different time. I think there is a lot because we have a lot of focus, had a lot of focus on Samsung and Nokia and the LG (ph). There is dialog with the other people where you kind of put their energy towards you're getting first deals closed and then you move on to the next step. That actually makes other deals easier to do. We've seen an awake (ph) of Samsung for example with respect to a number of customers out there. You're flipping right pass the due diligences and you get right economic discussions. So to some extent to make your life easier, you want to leverage off for some positive results.
Michael Ciarmoli - Boenning & Scattergood: Okay, okay that's helpful. And just I guess, I'm looking at the incentive for some of these companies to sign licensees or to sign license agreements today. Obviously the market is weaker now. It seems to me that there would be encouraged to hold-off as long as they can to wait for ASPs -- handsets ASPs to fall further. This way they could probably get a better deal. Is that kind of one of the major thought processes for some of OEMs out there?
William Merritt: Yeah, I really don't see that. We see -- obviously there that the issue of just the economic strength of some of these companies and then trying to figure out how they can make the payments that would be required. But beyond that, we see people using a pretty -- for the most part are trying to figure out way to these things resolved. The market turbulence does throw some additional factors into the consideration. If you looking at fixed price deal because it's factoring out what's the market forecast you are going to use. But I think its going to be a valuable per unit type deal than what it will -- those are the amateurs self correcting. So, we don't really see people hanging back other than the typical. As we've always said, you kind of have three cuts to licensees. People that go really get it done. People in the middle they kind of take you to a little bit due diligence and then get it done and other people that kind of wait until the end, apparent continues to be what we see.
Michael Ciarmoli - Boenning & Scattergood: Okay, perfect. Thanks a lot you guys.
Operator: And we'll go next to Tom Carpenter of Hilliard Lyons.
Tom Carpenter - Hilliard Lyons: Good morning.
William Merritt: Good Morning.
Janet Point: Good morning.
Tom Carpenter - Hilliard Lyons: When you look on the acquisition front, whether its securities display or other parts of the handset and you brainstorm how it's going to be part of the licenses handsets or other areas. Do you think you're going to bundle everything which is been your traditional approach or might you do some one-off deals or separate acquisitions from your existing technology?
William Merritt: Yeah, I think that we want to move more toward some level of segmentation. But probably do it by market in a sense that if the handset is licensed, its licensed basically that portfolio, but if that would be relative to the handset. But the portfolios both from internal development and the external acquisition that gives you opportunities to license service providers and things like that. So, those licensing focus has been principally handsets and I think that make a lot of sense that it is biggest market and where the patent portfolio was the deepest, but as we look to grow, the company beyond that handset market. We're going to need to segment out the portfolio to identify those things that are services related and application related and purchased equipment related.
Tom Carpenter - Hilliard Lyons: Great, one of the challenges on the patent license in the front especially the past couple of years, it has been the increase of litigation, how accepted is licensing in those areas and you think it can beyond from interims like you guys have done with Apple, LG and Raymond (ph), most of the Japanese licensees versus maybe how they're going to court to get the first licensee being given the increase litigation industry from the past couple of years?
Scott McQuilkin: I think depending upon what market goes into, you can think it can be more than the other and that's the fact, do you think about in evaluating opportunities within certain markets. We're bringing people on board into the licensing team that have had this experience in these other markets and they've been successful in doing it without litigation that's always on a preferred tax. And, so its -- at the end of day, it's not so much the segment in which the company participates, it's the company itself what their particular advantage. I think we will -- we certainly have to factor into movement into any new market, what the litigation cost that we see in that market if any, and how that it will effect the overall returns of going into that market. But the real -- other than this high profile cases that we tend to have with Nokia and Samsung is 95%, license again has come (ph) we never having the good (ph) litigation. And, so we would hope to think that same level of success into those new certainty markets.
Tom Carpenter - Hilliard Lyons: Verizon's talking about a very aggressive rollout time lies for LTE 4G technology and Qualcomm license maybe about half measures, or LTE. You guys expect to have any licensing deals with the majors ahead of the Verizon rollout, or are you going to be after the technologies introduced?
William Merritt: Well, actually if you look at the license agreement today, they would cover LTE products maybe for examples, if it's a per-unit license, it gives me shock as an example, a shipped -- and LTE cables is the way, well that's also going to be capable on the 3G network, so, you're going to capture that product within the existing license agreement. So, if the license here is in fact today cover LTE hasn't been an advertise part of the program because its 3G has been the focus. This from the portfolio standpoint we're in very good shape to go out and license LTE, again its one of those things we need to get people sort of focus on that and I think today its looks for the remains on 3G. And, I would expect over the next year, so that the discussions might they did at one point a certain mix between 2G and 3G discussions will become next between 3G and LTE.
Tom Carpenter - Hilliard Lyons: Are you saying that it's Sharp or another Samsung another license, do you think what's next possibly paid in their license that ship a multi-node 3G, 4G handset, you'd receive royalties also for the 4G component of the phone?
William Merritt: Yeah, if you go back in the specific license agreements, it's typically the way the license agreement has been structured, if that device is capable of operating on a 3G network, it doesn't matter that it can also operate on LTE network, it's still a reportable product under those deals. So that's true with respect, you tend to do that with respect your current unit deals, what you do on your fixed price deals, you've done a fixed price deals you try to exclude the LTE capable stock program, but the payment and typically see it on the fixed price deals that include the LTE component.
Tom Carpenter - Hilliard Lyons: Got it, a quick for Scott, Scott it didn't look like you guys bought the shares in the March quarter, if you bought any in April or May quarter to-date?
Scott McQuilkin: Yeah, we made the decisions to buyback additional stock in March, the window opened up for us and we put in place the 10B-51 plan which started in April.
Tom Carpenter - Hilliard Lyons: So you have repurchase shares quarter today?
Scott McQuilkin: We have.
Tom Carpenter - Hilliard Lyons: Okay, thanks so much. And one final question and I'll get back in the queue. You guess have the evidence your hearing coming up with LTE at the end of the month. And I think staff report, which is not public came out a (ph), last year the evidence share in the first hour and half, when the size was under the case of the staff attorney (ph) stood up and he said no, I think that's due to lot of investors. The stock fell ultimately, you wind up signing the deal with Samsung for 2G and 3G, any words of wisdom for those that is going to be evidentiary hearing this year on what could be said there?
Scott McQuilkin: Yeah, until the until staff opinion is public, its typical back assurance contract staff opinion. I think you noted the importance of Samsung went through the case with us. So the evidence and signed the $400 patent licensing deal, I think that's the deal that people should be focused on it.
Tom Carpenter - Hilliard Lyons: Since it's a -- I guess I had done deal and hopefully you'll find out one day. Was the -- it was -- those was speculative last year that the staff attorney's opinion was not based on whether (ph) that was based on some other higher deals scale that you might have been a part of this Samsung argument that either those employed license, or some other case loss from one of the standard's parties, is that fairly accurate?
Scott McQuilkin: Yeah, I think that the staff opinion on the Samsung case was eventually explained, I think portion of that remained publicly, since I don't remember what was main patent or was that the only one getting those within that in the opinion.
Tom Carpenter - Hilliard Lyons: Okay, great. Thank you. Operator: (Operator Instructions). And at this time, we have no further questions. I'll go ahead and turn the call back over to Janet Point. Please go ahead
Janet Point: Hi, thank you Mike. I want to -- thanks everyone for dialing in on the call. If you have any follow-up questions, we'll be available and we'll talk to you next quarter. Thank you.